Operator: Good afternoon, ladies and gentlemen, and welcome to the Rogers Sugar Second Quarter 2015 Results Conference Call. After the presentation, we will a conduct a question-and-answer session, which will be open only to financial analysts. Instructions will be given at that time. Please note that this call is being recorded Thursday, April 30, 2015 at 4:30 PM EDT. I would now like to turn the meeting over to Ed Makin, Chief Executive Officer. Please go ahead, Mr. Makin. Edward Makin Thank you, operator and good afternoon, ladies and gentlemen. Joining me today for this conference call is Manon Lacroix, our Vice President of Finance. In keeping with our usual format, I'll start by commenting on some of the highlights for the quarter. Thereafter, I will turn the call over to Manon who will review the financials in more detail and talk briefly about the outlook for the remainder of the fiscal year. We will then open up the phone lines to answer any questions you might have. Turning first to our volume, we sold approximately 2300 tonnes less this past quarter when compared against last year’s comparable quarter. The decrease in volume occurred in our consumer and liquid categories, but was partially offset by higher industrial and export sales. Consumer volumes were low by 3800 tonnes, due to timing of agreements with major accounts whereby one agreement started on January 1, 2014 and another terminated in March 31, 2014. Liquid sugar sales also decreased for the quarter by approximately 2100 tonnes as our contract for an HFCS substitutable liquid sugar in western Canada ended in April of 2014. Industrial sales increased by 1400 tonnes during the quarter. As no exceptional access to the United States was available during the second quarter, we were restricted to shipping to the US for the most part against our traditional US quota and global quota. However, export volumes were higher by 2200 tonnes overall, due to timing of deliveries and some modest volumes sold against the US high tier duty. For the quarter, our adjusted gross margin increased by approximately $700,000 and on a per metric tonne basis, our adjusted gross margin rate increased by approximately $6 per metric tonne. The increase in the adjusted gross margin is due to lower operating costs. Energy costs savings of approximately $2.5 million occurred as a result of lower natural gas prices and by a recent decision to move to a firm gas contract as opposed to the interruptible contracts used in prior years. In addition, reduced labor costs of approximately $1.6 million were realized as a result of the workforce reduction at the Montreal refinery. These savings were offset somewhat by a reduction in the adjusted gross margin due to lower sales volume, poor operational performance in Vancouver and beet deterioration due to unfavorable weather in Taber. As noted by the above, our adjusted EBIT increased by $1.5 million over the comparable quarter of 2014. Year to date, adjusted EBIT now stands at $27.6 million, or $1.3 million higher than last year. Free cash flow for the second quarter amounted to $5 million and this compares to $2.8 million for the same period last year. The increase in free cash flow was mainly due to lower pension contributions and lower income taxes paid, offset somewhat by higher net capital spending. During the quarter, the company declared a dividend of $0.09 per common share or $8.5 million in total. In Taber, our slicing campaign was completed in early February and we are now estimating refined sugar production for 2015 at approximately 85,000 tonnes, once the thick juice run is completed later on this summer. To date, a new agreement has not yet been reached for the Alberta Sugar Beet Growers. Discussions are still ongoing with the intent of reaching an agreement during the next 10 days. In the event that no agreement is reached for next crop, Taber's customers would be supplied from the inventory carryover from the current crop and from available idle capacity at the Vancouver refinery. And that concludes my remarks and I will turn the call over to Manon at this time.
Manon Lacroix: Thank you, Ed. I will now go over the second quarter results in more detail. Adjusted gross margin for the second quarter was $17.1 million versus $16.4 million for the comparable quarter last year, an increase of $700,000. On a per tonne basis, adjusted gross margin for the current quarter improved by approximately $6 per metric tonne, and amounted to approximately $112 per metric tonne. As it was the case in the first quarter, the increase in adjusted gross margin per metric tonne is explained by a reduction in operating costs of a few items. First, the company benefited from energy cost savings of approximately $2.5 million for the second quarter of this year. As we have discussed previously, the company negotiated a firm gas contract for the Montreal refinery in fiscal 2015, which was highly favorable to the company this winter. During the second quarter of 2014, the Montreal refinery was required to purchase expensive auxiliary gas as our supply was interrupted for 41 days during that quarter. In addition, in the second quarter of the current year, the company was able to benefit from lower natural gas spot prices for a portion of our gas requirements. Secondly, operating labor at the Montreal refinery was reduced in September 2014 and generated savings for the quarter of approximately $1.6 million when compared to the same period last year. Energy and labor savings were somewhat offset by a reduction in gross margin due mainly to a decrease in total volume during the quarter and higher operating cost in Vancouver and Taber. Operating costs at the Vancouver refinery were higher due to additional labor cost incurred to increase finished goods inventory as well as higher maintenance cost as a result of unforeseen mechanical issues and timing. Taber experienced a difficult end to the slicing campaign due to warmer than usual weather in southern Alberta, causing beet deterioration and as a result increase operating costs. Adjusted EBIT for the quarter was $9.9 million compared to $8.4 million last year. Now, turning to the results year to date, adjusted gross margin was $42.4 million compared to $41.2 million last year. The adjusted gross margin increased by $1.2 million year-to-date due to the same reason as explained before for the second quarter. Energy and labor savings reduced operating cost by approximately $3.3 million and $2.9 million, respectively, somewhat offset by a lower gross margin due to lower sales volume and to higher operating cost in Vancouver and Taber. Adjusted EBIT was $27.6 million for the first half of fiscal 2015 compared to $26.3 million for the comparable period. When we exclude the mark to market loss on the interest rate swaps, finance cost was $100,000 and $300,000 higher than the comparable quarter and year-to-date, respectively, due to higher average debt level when compared to last year. Inventories were higher throughout the first half of the year versus fiscal 2014, due to higher beet inventory carryover and timing in raw sugar vessel deliveries. I will now turn over to the outlook for fiscal 2015. We expect industrial sales volume to be slightly below last year, while the consumer volume is anticipated to be comparable. As we have mentioned in the previous quarter, we anticipate liquid volume to decrease due to an HFCS substitutable business that was not renewed. And as a result, we expect this segment to be down by approximately 8,000 metric tonnes in fiscal 2015 when compared to fiscal 2014. Despite Mexico’s current sugar surpluses to date, the company contacted 5,000 metric tonnes for fiscal 2015. When we combine this volume with Canada-specific and the US global quota, we expect total export volume to be at least comparable to last year. The company will continue to pursue any additional export opportunities. Overall, we expect total sales volume in fiscal 2015 to decrease from the level of fiscal 2014. The company expects significant savings in fiscal 2015 with regard to labor and energy costs. As we have discussed previously, we are still expecting to generate labor savings of approximately $5 million when compared to fiscal 2014, with regards to the productivity of improvement projects implemented at the Montreal refinery in September 2014. As far as energy [in its current trend] most of the savings expected have been generated in the first half of fiscal 2015. The company has hedged approximately 90% of its gas consumption requirements for fiscal 2015. However, we expect the savings to be generally offset by lower adjusted gross margins due to lower sales volume. It’s also important to mention that in fiscal 2015, the company will not benefit from a $1.9 million profit recorded in fiscal 2014 as a result of the decision to bring in a vessel early to capitalize unfavorable spreads on the #11. Administration and selling costs are expected to be lower in fiscal 2015, considering the non-recurrence of expenses related to productivity improvement analysis and a non-cash pension expense in fiscal 2014. With that, I would like to turn the call back over to the operator for the questions session.
Operator: [Operator Instructions] Your first question comes from the line of Stephen MacLeod with BMO Capital Markets.
Stephen MacLeod: Just wondering if you can comment a little bit about the agreement with the Alberta Sugar Beet Growers and is it, if memory serves, it seems unusual that you wouldn’t have a contract in place by now, is that correct or is it relatively common?
Edward Makin: I wouldn’t say it’s common, Stephen, I think we’ve had incidents in the past where it has gone beyond, I think if memory serves me right, we’ve gone to the middle of May with contracts in the past, but it is a little later than usual and that’s why we thought it was appropriate to just bring it up.
Stephen MacLeod: And then in the event that an agreement is not reached, do you have enough volume from the inventory carryover and idle capacity in Vancouver to fill that or will you be in a volume deficit position?
Edward Makin: We have more than adequate volume, we have a fairly large carryover. If you remember prior conference calls, we had a good crop last year and even without decent sales out there, we still carried volume over, plus Vancouver as far as idle capacity is concerned, we’re not worried about that at all.
Stephen MacLeod: And then last quarter you talked a little bit about your outlook for adjusted gross margin per metric tonne on a full year basis. Has that changed at all, like what do you expect on a full year basis, is that still flat to down on an adjusted basis like excluding that $1.9 benefit last year?
Manon Lacroix: Like you know, we don’t give any forward-looking statements. All I could say is repeat that we see that it’s going to generally be offset, we will have lower volume and also we won’t have the $1.9 million profit that we had last year.
Stephen MacLeod: And then I guess just finally, industrial volume is now expected to be down, I think it was up as of the last quarter or expected to be up as of last quarter. So just wanted to get a view of what the change was in the outlook?
Edward Makin: I think it’s a lot of different puts and takes that have occurred over the last little bit. The one we’re talking down, it is really not that significant at the end of the day. I think, Manon, correct me if I’m wrong, we’re talking about less than 1% here. So we’re saying it’s going to be slightly down at the end of the day, Stephen, really. It’s not significant.
Stephen MacLeod: Just finally if I may, are you still seeing lot of margin pressure from a competitive perspective on pricing?
Edward Makin: Stephen, we get that every quarter, it comes up, but it is always a competitive environment, it’s never going to change. There is always a lot of competition out there and it continues. But we adjust, we’ve been in that marketplace for many years and obviously it’s part of our day to day operations.
Stephen MacLeod: And that I think this is your last call, is that right?
Edward Makin: It is, yes.
Stephen MacLeod: Congratulations.
Operator: Your next question comes from the line of Endri Leno with National Bank.
Endri Leno: I have a quick question regarding capital expenditures, I was wondering if it’s possible to segment how much of that was maintenance expenditure and how much was for growth initiatives?
Manon Lacroix: In general we try to spend between $6 million to $7 million on maintenance capital and maybe approximately $3 million on return on invested projects.
Operator: [Operator Instructions] Your next question comes from the line of Michael Van Aelst with TD Securities.
Michael Van Aelst: If you’re talking about your Taber situation there, if you were not going to be producing anything in Taber this year or at least next year, would you actually have a more favorable cost situation or a negative cost situation in that situation by – could you get efficiencies from ramping Vancouver up and running at a higher level, I’d assume, but then you’d have transportation costs. So what do you think the net implications would be?
Edward Makin: I think Michael, it’s really way too early to get into that sort of discussion. I mean, we’re still in negotiations, we’re hopeful we’ll complete a contract. So we’re really not at that point and I prefer not to answer that at this stage.
Michael Van Aelst: The operational issues that you had in Vancouver, are those behind you now?
Manon Lacroix: Yes. And there were some issues, but there’s always some issues in the plant. There was nothing significant, it’s just there was a few little things that affected the quarter a bit more significantly than other quarters. But there is nothing like the boiler incident that we had last year.
Edward Makin: Michael, they are typically one-offs that are not repetitive and they are usually dealt with very quickly and they have been.
Michael Van Aelst: On the admin and selling, you attributed the $0.4 million change to timing. Was that a shift this year or a shift last year? In other words, I guess, is that $0.4 million still to come or is that not a factor going forward.
Manon Lacroix: It’s not a factor going forward.
Michael Van Aelst: And did you have any liquid volumes in this quarter, anything significant?
Edward Makin: I’m not sure what you mean by did we have any, yes, we sell a lot of liquid every quarter.
Michael Van Aelst: I meant from the contract that was left over from last year. I remember, last year you had, if I remember correctly, a sum like 6,000 tonne…
Edward Makin: You’ve got a good memory, Michael, but that contract actually finished, I think it was April of 2014. So in essence, clearly nothing against that contract was delivered after that date forward. We’re just obviously comparing what was shipped in 2014 versus 2015, so there was nothing in 2015 at all against that contract.
Michael Van Aelst: That’s all the questions from me. Ed, good luck and all the best in your retirement.
Edward Makin: I appreciate it, Michael. Thanks very much.
Operator: And there are no further questions on the line at this time. I’ll now turn the call back over to your presenters.
Edward Makin: Thank you, operator. And I’d just like to take this opportunity, as few of the analysts have pointed out, it is my last conference call. So I’d like to thank all our shareholders for their tremendous support over the years and wish the company all success. Equally, I’d like to introduce John Holliday, who is going to be my replacement and he in turn will be taking over these conference calls in the future. So once again, many thanks to all and much success to the company. Thank you again, operator, and that does it for us.
Operator: This concludes today's conference call. You may now disconnect.